Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to the TTM Technologies Fourth Quarter 2020 Financial Results Conference Call. During today’s presentation, all parties will be in listen-only mode. Following the presentation, the conference will open for questions. [Operator Instructions] As a reminder, this conference is being recorded today February 3, 2021. Sameer Desai, TTM’s Senior Director of Corporate Development and Investor Relations will now review TTM’s disclosure statement.
Sameer Desai: All right. Thank you. Before we get started, I would like to remind everyone that today’s call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements related to TTM’s future business outlook. Actual results could differ materially from these forward-looking statements, due to one or more risks and uncertainties, including the factors explained in our most recent Annual Report on Form 10-K and other filings with the Securities and Exchange Commission. These forward-looking statements are based on management’s expectations and assumptions as the date of this presentation. TTM does not undertake any obligation to publicly update or revise any of these statements whether as a result of new information, future events, or other circumstances except as required by law. Please refer to the disclosures regarding the risks that may affect TTM, which may be found in reports on Form 10-K, 10-Q, 8-K, the registration statement on Form S-4 and the company’s other SEC filings. We will also discuss on this call certain non-GAAP financial measures such as adjusted EBITDA. Such measures should not be considered as a substitute for the measures prepared and presented in accordance with GAAP and we direct you to the reconciliation of non-GAAP to GAAP measures, included in the company’s press release, which was filed with the SEC and is available on TTM’s website at www.ttm.com. We’ve also posted on this website a slide deck, which will – we will refer to during the call. I will now turn the call over to Tom Edman, TTM’s Chief Executive Officer. Please go ahead, Tom.
Tom Edman: Thank you, Sameer. Good afternoon, and thank you for joining us for our fourth quarter 2020 conference call. These continue to be challenging times. And I hope that, all of you and your families are safe and healthy. I’ll begin with a review of our business strategy then an update on how COVID-19 has impacted our business followed by highlights from the quarter and a discussion of our fourth quarter results. Todd Schull, our CFO will follow with an overview of our Q4 2020 financial performance and our Q1 2021 guidance. We will then open the call to your questions. I am pleased to report that in the fourth quarter of 2020, TTM generated revenues above the midpoint of guidance and non-GAAP EPS above the guided range. All end markets performed better than guidance while year-on-year growth in the automotive and defense end markets was offset by weakness in the medical, industrial and instrumentation and networking and telecom end markets. In addition, continued strong operational execution, overcame production inefficiencies, and extra costs due to COVID-19. The COVID-19 pandemic has created operational difficulties, macroeconomic uncertainty, and employee concerns. I am extremely proud of how TTM employees have worked to deliver excellent performance, despite the formidable and unprecedented challenges of this environment. I’d also like to highlight that in Q4, we repaid and settled our $250 million convertible bond with no dilution to shareholders, solid cash flow from operations drove our net debt to EBITDA ratio to 1.4 at the end of Q4. Finally, we announced a $100 million share repurchase program as an additional tool to increase shareholder value following the strengthening of our balance sheet. For the full year of 2020, excluding the vested and closed businesses, TTM grew 3% with solid profitability despite headwinds from COVID-19 and the strengthening Chinese currency. Full year cash flow from operations was $287.2 million and along with the sale of the mobility business enabled us to repay debt and reduce leverage, putting us in a strong position for the future. Next, I would like to provide an update on our long-term strategy. TTM is on a journey to transform our business to be less cyclical and more differentiated. We believe over time investors will be rewarded with more stable growth, strong cash flow performance and improving margins. A key part of that strategy will be to add capabilities and products that are complementary to our current offerings both internally and through acquisitions. Looking forward, our balance sheet is in a strong position to pursue further acquisitions as well as to support our organic investment needs. I would also like to update you on the COVID situation. For the majority of 2020, we managed through COVID-19 with relatively minor impact to our production. Currently, the combination of colder weather in North America and the recent holiday season has created a surge of COVID cases. Since many of these infections are occurring in regions where our manufacturing locations or plants are located, we have also seen an increase of COVID cases within our employee population in North America. And we expect this condition to continue into 2021. While many of those that were infected returned to work after being cleared following testing and quarantine protocols. We still have a number of employees in quarantine, which is causing some production inefficiencies. We continue to conduct rapid testing, contact tracing, and to quarantine individuals who were in close contact with infected team members, in addition to deep cleaning effected work areas. We also continue other measures such as extensive internal communications, masking, temperature checks, and proper distancing in our facilities worldwide. Because of the stringent preventative measures in place and our culture of transparency and communications, these events have had less impact on our operations than might have been the case without these precautions. Now I’d like to review our end markets. All historical end market disclosures exclude the mobility business unit and the two EMS plants with healthy production in December. For more details on end market disclosures, please refer to our fourth quarter earnings press release and Pages 4 and 5 of our earnings presentation, both of which are posted on our website. The aerospace and defense end market represented 38% of total fourth quarter sales compared to 37% of Q4 2019 sales and 37% of sales in Q3 2020. We expect sales in Q1 from this end market to represent about 36% of our total sales. We saw solid growth in A&D segment with Q4 revenues up 2% year-on-year to a record high and an A&D record program backlog of $687 million compared to $600 million in the year ago quarter. Strength and defense more than offset weakness in the commercial aerospace end market. Growth in the defense market is a result of our strong strategic program alignment and key bookings for ongoing franchise programs. We saw significant bookings in the quarter for AESA radar systems; for Raytheon’s Army, Navy transportable surveillance radar to protect against ballistic missiles, Lockheed Slide 7, a variant of the U.S. LRDR program for the F-110 Spanish frigate; as well as Northrop upgrade of F-16 fighter jets with scalable agile beam radar. For the full year, aerospace and defense increased 7% and reached a record high as TTM benefited from increased defense spending and demand for multiple new programs. We were pleased to see the 2021 NDAA passed into law with bipartisan support, which suggests the defense budget could stay stable at a high level going forward. Given our solid program alignment, we would expect to outperform broader defense budget growth. In 2021, we expect growth to be in line with market projections of 2% to 4% driven by the defense side of our business. We expect the commercial aerospace portion, which was 16% of our A&D market in 2020 to be down in 2021. Automotive sales represented 17% of total sales during the fourth quarter of 2020, compared to 15% in the year ago quarter and 13% during the third quarter of 2020. Automotive grew almost 40% sequentially following the growth in Q3 and returned to year-on-year growth of 14%. We affect automotive to contribute 18% of total sales in Q1. For the full year, automotive declined 11% as both demand and supply were affected by COVID-19 in the first half of the year, followed by a recovery in the second half of the year. In 2020, advanced technology was 26% of our automotive end market compared to 20% in 2019. For the full year, we won design wins with a lifetime value of $629 million, compared to $475 million in 2019. In 2021, due to the anticipated stronger start, we expect the market to be above longer-term forecast of 3% to 6%. The medical industrial instrumentation end market contributed 16% of our total sales in the fourth quarter, compared to 17% in the year ago quarter and 19% in the third quarter of 2020. For the first quarter, we expect this market to be 16% of revenues. For the full year, AMI&I grew 12% well above the trend line due to strengthen our instrumentation customers specifically automated test equipment and strengthened our medical customers particularly for emergency requirements of printed circuit boards using ventilators and patient monitoring systems applied to the treatment of COVID-19. In 2021, we expect growth to be below the 2% to 4% forecast as these segments see moderated demand following the extraordinary strength of 2020. Networking communications accounted for 16% of revenue during the fourth quarter of 2020. This compares to 17% in the fourth quarter of 2019 and 17% of revenue in the third quarter of 2020. We saw relative strength in the networking segment compared to the telecom segment as 5G builds pause temporarily. In Q1, we expect this end market to be 15% of revenue, due primarily to uncertainty around the timing and ramp of Phase 3 build for 5G in China. For the full year, networking communications declined 4%. We expect this market to grow, but be below the longer term forecast of 5% to 8% growth in 2021, due to the anticipated soft start in the early part of the year, followed by a ramp of 5G infrastructure needs in the back half of the year, complimented by growth in networking. Sales in the computing storage peripherals end market represented 13% of total sales in the fourth quarter compared to 13% in Q4 of 2019 and in the third quarter of 2020. This end market was up 2% year-on-year as growth in our semiconductor customers offset modest year-on-year declines from our data center customers. We expect revenues in this end market to represent approximately 14% of first quarter sales. For the full year, computing grew 9% as we saw growth across our data center and semiconductor customers. In 2021, we expect to be above the forecasted end market growth of 1% to 3%, driven primarily by data center growth. Next I’ll cover some details from the fourth quarter. Note that all of the following operations metrics exclude the mobility business unit and the two EMS plants that we closed. This information is also available on Page 6 of our earnings presentation. During the quarter, our advanced technology business, which includes HDI, rigid flex and RF subsystems and components accounted for approximately 31% of our revenue. This compares to approximately 27% in the year ago quarter and 29% in Q3. We are continuing to pursue new business opportunities and increase customer design engagement activities that will leverage our advanced technology capabilities in new markets. Capacity utilization in Asia Pacific was 63% in Q4 compared to 61% in the year ago quarter and 63% in Q3. Our overall capacity utilization in North America was 58% in Q3 compared to 58% in the year ago quarter and 61% in Q3. Our top five customers contributed 34% of total sales in the fourth quarter of 2020 compared to 36% in the third quarter of 2020. Our largest customer accounted for 14% of sales in the fourth quarter. At the end of Q4, our 90-day backlog, which is subject to cancellations was $483.9 million compared to $402.8 million at the end of the fourth quarter last year and $437.8 million at the end of Q3. Our PCB book-to-bill ratio was 1.19 for the three months ending December 28. I’d like to conclude by again thanking our employees for continuing to contribute to TTM and our critical mission of inspiring innovation with our customers. Their efforts are particularly appreciated during these times by our customers in critical essential areas like defense and the medical industries. Despite the COVID-19 and currency related challenges we faced in 2020, our business performed better than we expected as a direct result of operational excellence and market diversification and our employees concerted efforts to engage and support our customers. We’ve also taken positive strategic moves that will strengthen TTM for the long-term. Now, Todd will review our financial performance for the fourth quarter. Todd?
Todd Schull: Thanks, Tom, and good afternoon, everyone. As Tom mentioned earlier, in 2020 TTM announced the closing of the sale of its mobility business unit. As such the disclosure of TTM’s GAAP results reflects the mobility business unit as a discontinued operation. During this call, I will discuss non-GAAP financial information, which excludes the results of the mobility business unit. The E-MS business unit is still included in both the GAAP and non-GAAP results we have reported. Please refer to the earnings schedule for additional details on exited businesses and continuing operations. Page 7 of our earnings presentation and the appendix of our investor presentation also contain this information. For the fourth quarter, net sales from continuing operations were $523.8 million compared to $535.7 million in the fourth quarter of 2019. The year-over-year decrease in revenue was due to declines in our medical, industrial instrumentation and networking telecom end markets with roughly a third of the decline coming from the E-MS plant, which we have closed. This was particularly – excuse me, this was partially offset by growth in our automotive, aerospace and defense and competing end markets. Excluding the impact of the two E-MS plants being shut down, our revenues were down 1.1% year-on-year. GAAP operating income from continuing operations for the fourth quarter of 2020 was $29.2 million compared to GAAP operating income of $29.4 million in the fourth quarter of last year. On a GAAP basis, net income from continuing operations in the fourth quarter of 2020 was $39 million or $0.34 per diluted share. This compares to a net income of $10.8 million or $0.10 per diluted share in the fourth quarter of 2019. The remainder of my comments will focus on our non-GAAP financial performance. Our non-GAAP performance excludes our divested mobility business unit, non-routine tax items, M&A related and restructuring costs, certain non-cash expense items and other unusual or infrequent items. We present non-GAAP financial information to enable investors to see the company through the eyes of management and to facilitate comparison with expectations in prior periods. Gross margin in the fourth quarter was 17.5% compared to 19.1% in the fourth quarter of 2019. The year-over-year decrease in gross margin was due to lower revenue, COVID-19 related costs and associated labor inefficiencies, and foreign exchange headwinds, which increased our China-based costs. Selling and marketing expense was $15.2 million in the fourth quarter or 2.9% of net sales versus $17 million or 3.2% of net sales a year ago. Fourth quarter G&A expense was $24.4 million or 4.7% of net sales compared to $29.8 million or 5.6% of net sales in the same quarter a year ago. In Q4 net 2020, R&D was $4.6 million or 0.87% of revenues. This compares to $4.3 million or 0.81% in the year ago quarter. Our operating margin in Q4 was 9%. This compares to 9.6% in the same quarter last year. Interest expense was $11.6 million in the fourth quarter, a decrease of $4.8 million from the same quarter last year, due to lower interest rates and the term loan repayment of $400 million. During the quarter, we recorded $5.3 million of foreign exchange losses. Government incentives reduced the net loss to $1.9 million or approximately $0.02 of EPS. This compares to a loss of $1.8 million or approximately $0.01 of EPS in Q4 of last year. Our effective tax rate was a negative 19% in the fourth quarter due to a change in the non-GAAP full year tax rate from 15% to 6%. Fourth quarter net income was $40.2 million or $0.37 per diluted share. This compares to fourth quarter 2019 net income of $27.5 million or $0.26 per diluted share. Adjusted EBITDA for the fourth quarter was $68.2 million or 13% of net sales compared with fourth quarter 2019 adjusted EBITDA of $72.8 million or 13.6% of net sales. Depreciation for the fourth quarter was $22.7 million. Net capital spending for the quarter was $18.7 million. Our balance sheet and liquidity positions remain very strong. Cash flow from operations was $55.5 million in the fourth quarter or 10.6% of revenue. Cash and cash equivalents at the end of the fourth quarter 2020 were $451.2 million. This cash number is after we paid $250 million to settle our convertible bond on December 15. This cash number – excuse me, at the end of the fourth quarter, our net debt divided by last 12 months EBITDA was 1.4 times. During the quarter, we also received a two-notch upgrade from Moody’s to BA2. As Tom mentioned in his comments, today we announced the two-year $100 million share repurchase program. As we continue to transform our company, we have modified our capital allocation strategy. M&A will start – will still be our priority for increasing shareholder value, but as the company becomes more consistent in its cash generating performance, we believe that we can utilize both tools to increase shareholder value. Now, I’d like to turn to our guidance for the first quarter. Looking ahead, we believe that COVID-19 may continue to cause end market demand disruption, supply chain challenges, as well as inefficiencies with our own production. With this in mind, we estimate total revenue for the first quarter of 2021 to be in the range of $490 million to $530 million. We expect non-GAAP earnings to be in the range of $0.19 to $0.25 per diluted share. The EPS forecast is based on a diluted share count of approximately 109 million shares. Our share count guidance includes dilutive securities such as options and RSUs, but no shares associated with our warrants. We believe we expect that SG&A spend will be about 8.4% of revenue in the first quarter and R&D to be about 1% of revenue. We expect interest expense to total approximately $11 million. And finally, we estimate our effective tax rate to be between 10% and 15%. To assist you in developing your financial models we offer the following additional information. During the first quarter, we expect to record amortization of intangibles of about $10.9 million, stock-based compensation expense of $4.7 million, non-cash interest expense of approximately $0.5 million and we estimate depreciation expense will be approximately $22 million. Finally, I’d like to announce that we’ll be participating virtually in the Cowen Aerospace and Defense and Industrial Conference on February 9; the JP Morgan Leveraged Finance & High Yield Conference on March 1; and the Truist Technology Networking & Services Conference on March 9. That concludes our prepared remarks and now I’d like to open the line for questions. Tolari?
Operator: [Operator Instructions] We’ll move to take our first question from Matt Sheerin with Stifel.
Matt Sheerin: Yes. Thank you. Good afternoon. I wanted to ask a question regarding the forward guidance. So backing into the gross margin number, it looks like that’s going to be down sequentially on modest revenue decline. So I’m trying to figure out what are the drivers of that. I know that there – we’re hearing on a lot of these conference calls that there are incremental costs, supply costs, logistics costs and materials costs. I know you spend a lot on copper and other things. So are there any cost headwinds that you’re seeing in the next quarter or two?
Todd Schull: Well, are you going to sequentially or year-over-year, Matt?
Matt Sheerin: Well, year-over-year, it looks like you’re – sequentially, sequentially.
Todd Schull: Okay, sequentially. So when we look at Q1 compared to Q4 and looking at our gross margins, you’re right to observe it, that would be down slightly, sequentially on the margin line. What’s really driving that for us is obviously our revenues down sequentially a little bit. Now a lot of that comes from the E-MS business, which for the two closed plants that we completed production in Q4 until there’s a little bit of profit that goes away from that. But also what we have with Chinese New Year in Q1, we obviously didn’t have that in Q4. And although, revenue is stronger in Asia, we have to work through that Chinese New Year and you have to pay holiday pay, which is a bit of a headwind. And then of course, where we continue to challenge – be challenged with the strengthening Chinese currency, which sequentially as a modest increase we watch that every day, year-over-year, it’s a bigger headwind. So those are the three really big issues that are affecting us. I think sequentially, the COVID issue was pretty challenging in Q4, we expected to be the similar in Q1. So that’s not really a variant sequentially.
Matt Sheerin: Okay. And on that COVID issue, could you quantify perhaps the number of employees that have been affected and the cost associated with that, maybe on a basis point metric in terms of the headwind that you’re seeing?
Todd Schull: Well, I’ll let Tom comment on the employee information. But in regards to costs, the – there’s certainly direct out-of-pocket costs things like masks and extra cleaning expenses and things like that, which we can quantify that part of its relatively modest. What’s proving to be the bigger challenge is although our plants are open, when you have a very significant sickness or quarantine as a precautionary measure to avoid people getting sick, you have production inefficiencies, the department might be down one day or you have to work overtime to keep up production schedule. Those are the kind of production inefficiencies that we were referring to that were a much more pronounced for us in Q4. And we expect to have some additional challenges in Q1. Direct quantification is difficult to do, but it was a substantial amount in terms of the impact that we could see in terms of our labor efficiency. Tom, did you want to add anything to that?
Tom Edman: Yes. I would just add a couple of things. One is the other inefficiency, Matt, we’ve talked about this in the past. We have a structure, particularly in North America, because our plants are smaller, we will – when they’re dealing with challenges around new products, potential complexities of technology. We bring in tiger teams from our other plants. We also have a lot of involvement, hands-on from management. Obviously, with the situation with COVID we’ve been presented from doing that, from organizing that kind of assistance. And that goes into that production inefficiency that Todd talked about, very difficult to quantify, but clearly, an impact on yield and also an impact on total production. The other piece in terms of labor force, about 10% to date of our labor force has been impacted by COVID during the course of this pandemic. So what we saw and I think others have seen is a real uptick in incidents in cases starting mid-November, caring through December into mid-January. We may be starting to see a little bit of tail off there. We’re encouraged by that, but we’re also being very careful. Given what has happened here, it seems like every social event leads to another influx of cases. And so we’re very – it’s nice to see that the case is started to come down a bit, but we’re not counting on that.
Matt Sheerin: Okay. Thanks very much. Very helpful.
Tom Edman: Thank you, Matt.
Operator: We’ll move next to William Stein with Truist Securities.
William Stein: Congrats on the good results and the new buyback announcement. Thanks for taking my questions. First, I’m wondering if COVID is restricting your revenue in any way, either in the Q4 results or the Q1 outlook.
Tom Edman: I can jump in on that. Yes, definitely, Will. And from the standpoint of productivity and our North America facilities had an impact in Q4, will have an impact in Q1. And that’s just – yes, again, that impact on yields, that impact on total production. And Todd really hit on it. It’s just – it’s difficult to forecast as you go into the quarter, but in different sales and production sales, we may be more impacted than other, and that causes an imbalance in the operations. So that absolutely impacts overall production and therefore revenue.
William Stein: I’m going to ask another, but I’ll also ask if you have any way to quantify what the shortfall might have been like if he didn’t have COVID putting the margin impact aside, how much potential revenue do you think you’ve left on the table. But the follow-on question is to what degree do you think you’re being affected by shortages either for your own business or from the perspective of your customers not being able to get chips to put on boards?
Tom Edman: Sure. Yes, so in terms of impact on revenue, again, it is difficult to quantify. What I can tell you is, if you look at Q1 as an example, in aerospace and defense, we’re relatively flat. A piece of that of course, is commercial aerospace being soft. But also a significant piece of that is our inability to get production out. And so if you think about what would be a normal growth rate in that aerospace and defense area, where – and we talked about being in that 2% to 4% range, more towards the high end, of course, last year, we grew 7%. It was clearly, yes, the COVID situation having an impact on that. There’s also, of course, how bookings lay out in between quarters. But yes, COVID is pretty significant there. In terms of other shortages and how they’re impacting our business, I think, Will, you’re referring really to two components. And of course, we’ve been reading along with everyone else about the chip shortages, how that relates to automotive. What I’d tell you is, yes, on the edges, we’ve seen shipments be affected by customers running into shortages, but it has not had a large impact on us. We are continuing particularly in automotive, to monitor the situation carefully. And we’re thrilled to see the bookings coming in as they have, but still watching those hub pools, out of inventory hubs to see if that is at all impacted so far so good, but I would expect eventually that’s going to trickle through the supply chain that we would start to see more of an impact in terms of hub pools. So that’s what we’re watching so far so good, but again, something to keep our eyes on.
William Stein: Okay. Thank you.
Tom Edman: Thank you.
Operator: We’ll move next to Steven Fox, Fox Advisors.
Steven Fox: Thanks. Good afternoon. First question, I was curious if you could go into a little bit more detail on the big uptick in the percent of auto revenues tied to your advanced technologies. You said it went from 20% to 26%. So what advanced technologies was driving at and what end applications. And then I had a follow-up.
Tom Edman: Sure. Yes. Steve, predominantly, that’s RF, that’s driving it. RF going into ADAS and other autonomous vehicle related center needs, but that’s the bigger driver. A secondary factor is HDI, and the impact of HDI positively. And that’s more tied to infotainment and infotainment development and miniaturization of components become more and more a factor, driving a need for HDI. So both of those areas, but more RF than anything else. So some of the bookings that we’ve talked about in the past in the ADAS area now translating into revenues.
Steven Fox: Understood. And then in terms of the data center, the networking communications area, can you just sort of talk a little bit more specifically about your expectations for 5G and data center? I guess, you’re still waiting to hear and in terms of actual orders for China 5G, but I’d love to just sort of get your feel for maybe beyond Q1 in terms of how you’re thinking about those markets. Thank you.
Tom Edman: Yes. So I’m going to separate that discussion and the way we look at 5G falls into our networking communications end market. So I’ll talk to that first, and then I’ll talk a little bit about data center trends, which fall into our computing end market. On the networking communication side, the 5G, what we saw last year was very real strong demand coming out of China related to Phase 2 of their 5G investment. We’ve all been waiting for Phase 3. Initially, that was slated to start in the fall of last year. It was delayed to this year, the questions are really revolving around, would it be before Chinese New Year or after I would say definitively, it will be after Chinese New Year. And frankly, I think the Chinese government is monitoring the situation with Huawei, their design development. And we’ll time Phase 3 for the right timing, when Huawei and others are ready to provide the equipment. So there’s a little bit of, I think, that’s where the uncertainty comes in. I think it is a first half of the year situation, where we should see that. To give you a sense of at least officially, what’s out there. The Chinese government had said that, last year, approximately 580,000 base stations were installed. And what they’re calling for this year is closer to 600,000. And then what you can pick up in sort of the other factors rest of world, which frankly was very small last year. It was the estimates from market forecasts are somewhere around 150,000 base stations as compared to that 600,000 in China. This year, I would expect to see or what the forecasters are expecting to see as a good uptick. There could be 250,000 could be north of that. I think anywhere between 250,000 and 400,000 are the forecast that I’ve seen. That’s going to be driven out of North America and we’re starting to see some of the initial signs of that followed by Europe and then rest of Asia. So that activity is what we’re starting to see a bit out here, which is encouraging. And then what we’re waiting for from a real significant volume standpoint, will be that China piece combined with further rest of the world expansion through the course of the year. But that’s why we’ve been pointing really – this is more of a second half of the year phenomenon in the first half of the year, which we expect will be soft. In the meantime, networking will continue to be to pull us along and in terms of that end market. In data center trend always interesting. Last year, second quarter was phenomenal with the data requirements out there, driving some very urgent needs for equipment. I would say that, we’d come off of that. Q4 was better than we expected, which is encouraging. I think Q1 looks good, from a data center requirement standpoint. And again, the longer term trends are there in terms of data needs that will help that data center demand to continue to grow this year. So encouraging on that side.
Steven Fox: Great. That’s super helpful. Thank you very much.
Tom Edman: Thank, Steve.
Operator: Next we’ll move to Jim Ricchiuti with Needham & Company.
Jim Ricchiuti: Hi, good afternoon. You talked about the case flows increasing and the impact of COVID, an impact it’s having on your workforce. And I’m just wondering, have you guys seen variability in some of the orders that are coming in from your customers that you think could be tied to this, whether it’s in the U.S. or elsewhere, where we’re seeing some case flows or cases increase?
Tom Edman: I’m not sure I caught all of that, Jim. Can you repeat just the last part of the question?
Jim Ricchiuti: Yes. Hopefully I’m not breaking up, but I was at – the question I had was just regarding the impact of COVID, I mean, clearly its impact – you had an impact on your workforce. And I’m just wondering if you’re seeing the variability and orders that have been coming in from customers who themselves are being impacted by this. Are you able to see that at all yet? Or just curious if that’s playing into any of the forecast?
Tom Edman: What I would say, and as we – so again, it’s primarily going to be aerospace and defense, where we hear that. And I think the supply chain as a whole has been challenged. Our customers are moving programs around. It’s pretty dynamic, but they’re moving program needs around to accommodate the situation, the supply chain. And so far, I think they’re doing a pretty good job of it Jim, to allow – certainly allow TTM and others to continue to ship. There’s also, I think, part of this component, if you just think broadly about component shortages, part of that is probably impacted by the COVID situation as well. And so it’s hard to separate the two, but I would say that overall customers are adjusting to this, and they’re allowing us to continue shipments on critical programs and then adjusting these as they look out over several quarters. But I think, again, they’ve done a really good job of handling what is a very complex supply chain situation.
Jim Ricchiuti: I know you guys don’t guide beyond the quarter, but as we start coming out of this, hopefully, over the next several months, we see more of the vaccine getting out there, there should be – it would sound like, there should be some lists to your gross margins, just on the basis of the disruption that you’ve seen in Q4 and you’re anticipating in Q1. Is that a fair way to think about it?
Todd Schull: Well, there’s no battle. We’re carrying an anchor, if you will in Q4 and Q1 related to COVID in terms of its impact on our cost structure. Through those inefficiencies that we’ve talked about as we saw a significant ramping in cases and impact to our employees. So yes, we would expect that to relieve as we hit the country is really, or the world gets COVID situation, particularly North America, it gets the COVID situation under better control. Is that Q2? Is that beyond that point? I think that we can all watch the news and speculate on the vaccine a little while, but I think, there’s no doubt that that’s certainly holding us back a little bit.
Jim Ricchiuti: When did the comparisons get easier, Todd, in the commercial aerospace area. When did – what was the big hit last year for you in that area?
Tom Edman: If you think from a revenue standpoint, really the Q3, so it started in Q2, started Q2 really impacted us then in Q3 and Q4. And so I think that’s when again, we’re going to go through the course of this year it’s until we get to that second half of the year, it’s going to be a tough compare.
Jim Ricchiuti: Got it. And last question, and yes, we’re seeing more of these reports coming out of the new administration of that by American initiatives. And yes, I’m just wondering, do you see any benefit is in fact that’s a real that it might have in terms of supply chains for you guys?
Tom Edman: Yes, so it is early. And I think it’s early to predict how that will all come together. Clearly, when we look, we are well-established in North America. We have the opportunity. We have the certainly the footprint we can continue to invest in. As the administration will set at by America initiatives, they – what we’re we are certainly thinking through is a lot to do Jim with, if you start to think about our business, you start to think about a few things. One is our supply chain, whether it’s laminate supply chain, whether it’s equipment supply chain. There are a number of areas where frankly, the U.S. infrastructure is insufficient. So we end up importing and we bear a quite a bit of cost associated with that. I’d say the second area is, just simply volume manufacturer because, we and others have really moved to a high mix low volume type production in the U.S. And so there need to be a recognition with our customer base, perhaps encouraged by the U.S. government that, that it makes sense for larger scale commercial production to come back into the U.S. and then it needs then you’re looking at a full scale infrastructure requirements both in our supply chain, as well as in the scale demanded by those customers. That’s when it would get interesting. But yes, we’re obviously watching that closely, and at least the discussions around it could be encouraging longer-term. But it does sound like it’s very early days and even, it sounds like there is still just a lots of challenges even if they do want to execute on this. Yes, we’re – for us, it’s always starts with our customers. To the extent that our customers are looking to have that supply chain need, we will do our utmost and we will encourage our supply chain to the utmost to meet those needs. So that’s where it all starts.
Jim Ricchiuti: Okay. Thanks a lot.
Tom Edman: Thank you.
Operator: [Operator Instructions] And we’ll take our next question from Paul Coster with JPMorgan.
Paul Coster: Yes. Thanks for taking my questions. A little late to the call, so some of these might have been touched upon, it’s just two questions, really first up on the auto front. Are you seeing a change in the customer base? We’ve seen just dozens of companies entering this – the space, especially with EVs at the moment and sort of strikes me that there must be some new logos in your mix by now, but perhaps you can enlighten us.
Tom Edman: Yes, Paul, interesting and then – and I’ll – thank you for the question. I’ll broaden it slightly. I think what’s interesting to me, as we look at the automotive space and what happened in the fourth quarter is that, we saw strong year-on-year growth across the board. But if you start to look regionally, where we really – where we saw the strongest growth continued to be Asia and then with Europe coming in right after Asia, North America good year-on-year growth, but not the same level. And what I attribute that to is what you commented on, we have seen a lot of innovation in the EV states certainly in Asia, and that has helped our customers the Tier 1 – primarily Tier 1 suppliers. I think that’s really helped their business. And it’s energized their business as consumer demand has come back. And so that’s a really encouraging feature. I think on the European side, also it’s encouraging to see this kind of growth, because if you remember, we were dealing a year ago was really that transition from out of diesel. And the big question in Europe was where would the demand go, as the consumer transitioned out of diesel. And I think the answer is starting to emerge, I think more and more EV adoption, and yes, some good solid demand for internal combustion engine as well, but EV certainly playing a role in that geography as well. So yes, for us that yes, there are direct statements to some of these new customers. I don’t – don’t get me wrong when they’re doing development work, we’re doing a lot of work for them, but the major volume continues to be with the Tier 1s, and they’re turning around and they’re seeing a very different landscape, because they look out at their customer base.
Paul Coster: Okay, got it. And then my follow-up really also in the auto segment, really perhaps more in the ice area at the moment, that’s the supply constraints, not related to COVID people, people will like to but most to Silicon, whether it’s a micro controllers or system on chip technology, is that effecting you?
Tom Edman: Yes, so yes, I did comment a bit on that. The straight answer Paul is, we’re not – we haven’t seen it yet. We’re still seeing very strong demand. You can see that reflected in the backlog numbers, which very strong for us coming out of the fourth quarter. But we’re watching it really closely and that’s going to be a function of hub, our hub inventories and the pool out of those hubs. So we’re watching it closely and I would expect that, yes, there will be an impact here eventually, but it just hasn’t had to materialized yet.
Paul Coster: Okay. Thanks so much.
Tom Edman: Thank you.
Operator: We’ll take our next question from Christian Schwab with Craig Hallum Capital Group.
Christian Schwab: Great execution of this challenging environment. If I wanted to be an optimist, in this environment, when we assume vaccines accelerate, and we get into the fall and everything’s a more predictable and safer environment, as well as we have Phase 3 production starting the utilization up in particular in Asia-Pacific. If I want to think about how much gross margins could improve from your applied guidance in Q1 to something we could be executing as in the back half of the year. Can you bridge that gap for us?
Todd Schull: Sure. I’ll take a crack at that. I mean what we’ve talked about is really looking at that revenue level of what happens right. As auto maintained, that’s great. And if we see the Phase 3 with the 5G rollout in China kick in, let’s say, let’s just pick a quarter Q2, it starts to ramp from there, and we have a good strong second half that’s going to be very constructive. When we looked at our incremental margins associated with that revenue that comes through, we’re looking at somewhere in that I use 20% to 30%, but it’s really 25% to 30% depending on the complexity, the higher the complexity, the higher the incremental margins, but flow through to our operating income level as a result of that incremental revenue that we pick up. And it’s really key for us. As Tom quoted in his comments earlier, our utilization levels in the Asia are relatively low. They’re in the low-60s, low 60% range, which is a very low number for us historically. And we have plenty of capacity and capability. Yes, we have to add some labor and so forth, but in terms of the fixed infrastructure, when we have that in place and so there’s a rich flow through on incremental revenue. So if we look at our end markets and say, okay, Tom mentioned the first half could be a bit of a tough compare because we had very excited medical, industrial, and to some degree the telecom and networking and telecom section, and the first half of 2019, there might be some tough compares there, but as those things – those end markets strengthened as we go through the year, that’s going to have a nice flow through effect. If auto remains strong, or continue to improve, keep in mind as excited as we are about auto we’re still not yet back to our 2018 level. And as Tom quoted in some of the information he provided, our lifetime wins in automotive this past year was a very robust number. And it was on top of a very good year last year in wind. So there’s always a lag here, but we’re building the pipeline. And if we get that incremental revenue through that, that’s good business because again a lot of the fixed costs are already taken care of. So we look for a nice flow through as we grow revenue in the various markets that we’re competing in. And we’re optimistic about that as we go. But the big opportunity particularly is in those commercial end markets where we have we are underutilized in our facilities particularly in Asia.
Christian Schwab: Great. That’s a great answer. My second question has to do with Anaren. Is there any way for you to quantify how big that business is today?
Tom Edman: Well, the real answer is we don’t think about it that way. So what I like to point to is if you think about the business that we acquired, which has been integrated with our aerospace and defense business, what I would look at is that the overall backlog and when we acquired Anaren 2018 that, that overall backlog is in the $400 million range. And obviously, we’re now reaching record levels from an overall backlog standpoint. And so if you look at that uplift of $687 million, not all of it, but a good majority of it is in the RF space, which is a direct contribution from the combination of the two companies. So that’s the impact that really the combination is having. That’s probably the best deal I can give to on the Anaren impact.
Christian Schwab: Is there either the margin similar to what they were at when you acquired them? I mean they are materially higher than your combined business. Should we assume that they’re still that high?
Tom Edman: So the only thing, the only headwind we’ve had there on the commercial side of the RF&S segment, which we break out. But that, that side, we did leave the Huawei business, which obviously had an impact both on revenue and on profitability. But other than that, it’s – yes, it’s a very similar kinds of margins.
Christian Schwab: Okay. And that gets me to the punch line. So if you look at that business in back of the envelope math, and you put what a market multiple on that business, maybe if it was trading by itself and not hidden inside your company. It could be the lion’s share of your market cap. Are you guys exploring that, or is it too integrated for that to ever be something to contemplate?
Tom Edman: Yes, we’re very – we’re completely integrated at this point. So yes, I think that at this point as a company where that that’s really the – when we’re looking at our aerospace and defense business, that’s an integrated business and a piece of it as an integrated module, RF design to spec element that, that utilizes the full company capabilities. But we may in other programs, the supplying a portion maybe the printed circuit board portion, and maybe the component portion into a certain program. But it’s that ability to really flex to meet the customer needs. That is so critical in the combination. So short answer is it really is an integrated – heavily integrated business at this point.
Christian Schwab: Great, no other questions. Thanks, guys.
Tom Edman: Thank you.
Operator: We’ll take our final question from Mike Crawford with B. Riley.
Mike Crawford: Thank you. And if we continue to generate free cash flow along your balance sheet you might get some value from higher practical.On your defense side, $187 million defense backlog, I know the majority were asked, but is there any way to quantify how much that might be related to your new advanced i3 technology now or perhaps in the future, given design wins that might be come into fruition?
Tom Edman: That’s a great example, Mike, if – of how the business works today. So the – we essentially acquired with i3 was the capability to produce in high mix low volume substrate like printed circuit board, dense circuitry for miniaturization. There are different ways the product then move from our printed circuit board facility into the market. One is as an internal supplier because we need some of those capabilities for our RF component business. And so we’re an internal customer. Another way is in the aerospace and defense business, we have customers that, that, that need those boards. We also have customers that are very integrated in a microelectronics and assembly module. So now they’re looking at how – what can we do in terms of integration out of our facilities, that would combine that board capability with the RF component capability into a full module. And those are longer-term programs that we’re seeding today that will come into fruition three to five years from now. So if you look at there at the overall revenue that piece today, the biggest portion is what we’re using internally for our own component needs. If you look at that business three years from now, it’s going to look very different and it’s going to be a combination of module business, and board business, and then an internal piece. So that’s the kind of development, that the organization is achieving now by bolting in the i3 element and what we brought in with Anaren and combine that with the overall PCB capability, the TTM brought to the table.
Mike Crawford: Okay, thank you. Then my final question is, is it more a function of volume or mix to get to that 16% to 18% EBITDA in your target model from where you are today?
Todd Schull: I think in, obviously we have the short-term issues with COVID that we have to work through, but beyond that, we need some top-line growth. You can’t pass 50% utilization in your commercial facilities and which are volume oriented facilities and get there. We’ve talked about the need to get our revenue levels up to an approximate run rate on an annual basis of about $2.3 billion. We’re roughly at $2 billion now. So we need to see some growth there to be able to adequately utilize the facility, given our current footprint. And that’s what we’re driving for. Now we see that opportunity. You look at our revenue growth targets of mid-single digit organically. You can get there in the timeframe that we’re looking at. Obviously other things can happen to make that quicker or slower depending on macro levels or acquisitions or other things. But that’s what we’re looking at. We certainly believe it’s attainable for the footprint and the capabilities that we have today.
Mike Crawford: Great. Thank you.
Tom Edman: Thank you.
Operator: That concludes our question-and-answer period for this time. I’ll turn the call back over to Mr. Edman for our final – any final or additional comments.
Tom Edman: Thank you. And thank you everyone for joining us. Just want to reiterate a few points. We delivered revenues above the midpoint, earnings above the guided range, and that’s despite COVID-19 challenges. Second, our end market diversification has allowed continuing operations to be stable and despite some weakness in a couple of our end markets. Third, we generated very solid cash flow. We repaid and settled our convertible bond. And as a result, we brought our leverage down to 1.4 and announced a stock buyback program, so quite a busy quarter for us. In closing, I would like to thank you and also thank our employees and our customers for your and their continued support. Thank you very much.
Operator: That does conclude our conference call for today, everyone. Thank you all for your participation. You may now disconnect.